Operator: Good day, and welcome to TrueCar's Second Quarter 2025 Financial Results Conference Call. Please note, this event is being recorded. I would now like to turn the conference over to Jantoon Reigersman, President and Chief Executive Officer of TrueCar. Please go ahead.
Jantoon E. Reigersman: Thank you, operator. Hello, everyone, and welcome to TrueCar's Second Quarter 2025 Earnings Conference Call. Joining me today is Oliver Foley, our Chief Financial Officer. I hope you've all had the opportunity to read our most recent stockholder letter, which was released yesterday after market close and is available on our Investor Relations website at ir.truecar.com. Before we get started, I need to read our usual safe harbor. I want to remind you that we will be making forward-looking statements on this call, including statements regarding our ability to operationalize certain aspects of the TrueCar+ platform and our expectations with respect to future adjusted EBITDA profitability and free cash flow. Forward-looking statements can be identified by the use of words such as believe, expect, plan, target, anticipate, become, seek, will, intend, confident and similar expressions and are not and should not be relied on as guarantees of future performance or results. Actual results could differ materially from those contemplated by our forward-looking statements. We caution you to review the Risk Factors section of our annual report on Form 10-K, our quarterly reports on Form 10-Q and our other reports and filings with the Securities and Exchange Commission for a discussion of the factors that could cause our results to differ materially. The forward-looking statements we make on this call are based on information available to us as of today's date, and we disclaim any obligation to update any forward-looking statements, except as required by law. In addition, we will also discuss certain GAAP and non-GAAP financial measures. Reconciliations of all non-GAAP measures to the most directly comparable GAAP measures are set forth in the Investor Relations section of our website at ir.truecar.com. The non-GAAP financial measures are not intended to be considered in isolation or as a substitute for the results prepared in accordance with GAAP. Let us begin. I'm pleased to report the following operational highlights from the second quarter of 2025. Total revenue of $47 million grew by $5.2 million, up 12.4% year-over-year and marking our highest quarterly revenue since Q3 2021. Our net loss decreased to negative $7.6 million from negative $13.5 million in the same period last year. Adjusted EBITDA came in at negative $1.2 million. OEM revenue of $3.6 million grew by $0.6 million or 19.7% year-over-year. New unit sales volume grew 6.2% year-over-year as compared to the industry's 2.8% growth in new vehicle retail sales. Prospect close rate during the quarter reached the highest level since Q2 2021, and our restructured performance marketing campaigns yielded at nearly 30% year-over-year improvement in our average cost per sale for non-affinity partner units. As we articulated in our last stockholder letter, our approach to navigating the evolving tariff landscape involves a relentless focus on the factors we can control and a resource allocation strategy that prioritizes initiatives likely to yield positive results regardless of the prevailing market environment. In the second quarter, this meant deferring certain sales and marketing investments and focusing on increased speed of product development to accelerate key product enhancements designed to strengthen our competitive advantage and deliver greater value to dealers and consumers through the TrueCar platform. This shift has yielded exciting outcomes as evidenced by the number of core product initiatives that we released as new features during the last 90 days and the continued progress we have made towards our goal of commercializing TrueCar+ by year-end. First, our core product enhancements. As we noted last quarter, dealers measure the value of the third-party lead platform, primarily by the rate at which those leads turn into sales. That understanding has continued to guide our product road map in the second quarter, leading to a number of enhancements to both the dealer and consumer experience that are designed to improve lead quality, engagement and eventually close rates. Among the most significant advancements was the launch of Actionable Insights, a new feature available in the dealer portal that provides personalized data-driven recommendations to help dealers optimize performance on the TrueCar platform. By analyzing a broad set of dealer-specific and market level data, this new feature surfaces opportunities for improvements as well as relevant context and recommended actions, enabling our certified dealers to make faster, more effective decisions. Whether it's flagging a dealer's aged inventory that is priced above market or recommending price adjustments that will yield a better price rating for particular listings. Actionable Insights enables dealers to extract greater value from our platform. Complementing this feature is our newly launched motivated buyer badging, which leverages a proprietary machine learning model to identify and highlight the highest intent shoppers based on more than 20 behavioral signals. These high-value leads are now automatically flagged in dealer portal and the dealer's customer relationship management system, enabling faster and more targeted follow-up. On the consumer side, we also launched a broad set of updates aiming at making the TrueCar experience more intuitive, transparent and trustworthy. Most notably, we recently completed a full redesign of our search results page, the SRP, introducing a modernized filter interface with smart toggles, curated popular filters and improved mobile usability. These changes aim to help consumers more easily find the vehicles to best meet their needs, which in turn leads to improved engagement metrics and increased lead volume for our dealers. Similarly, we also completed a major redesign of our vehicle detail page, the VDP, to highlight the most relevant content and deliver most pertinent information to assist consumers in their decision-making process. With a cleaner layout, collapsible sections and clearer organization of key vehicle details such as specs, features and warranty information, consumers can now evaluate listings with greater confidence and more complete information, helping them match with the right dealer and we believe improve close rates as a result. Finally, for shoppers that convert into leads, we have significantly strengthened the post-prospect experience through a redesigned post-prospect e-mail that provides consumers with a clean receipt style breakdown of the out-the-door price, including applicable discounts, taxes and fees. Combined with prominent calls to action such as scheduled test drive or save offer, these e-mails are designed to drive higher levels of engagement between prospects and dealers, thus driving more showroom visits and closed sales for our dealer partners. Now turning to our TC+ advancements. While the enhancements to our core product experience are already driving stronger outcomes for both dealers and consumers, we are equally encouraged by the progress we've made towards commercializing TC+, our end-to- end digital retailing experience. As we shared last quarter, a critical milestone for TC+ is completing integrations with key DMS providers, which enables the automation of deal documentation and replaces the time-consuming desking workflows currently performed by the dealer. We are pleased to report that the engineering work related to the integration of CDK's DMS with TC+ is now complete and in testing. This streamlines the dealer experience and drives operational efficiency in a way that only a fully integrated end-to-end platform can deliver. Moreover, we also released a major revamp of the TC+ consumer checkout flow. This redesign introduces a more focused role for the VDP centered solely on helping the consumer select their vehicle while migrating all transactional steps into a newly reimagined checkout center. This guided checkout experience walks consumers step-by-step through the purchasing process, strengthening consumer trust by providing greater visibility and transparency at every stage of the transaction. The revamped flow also incorporates new features such as dynamic itemized deal receipt that updates as the deal progresses and dedicated pages for a range of available financing and insurance, so-called F&I, products such as gap coverage and extended warranty offerings. And for consumers who prefer to complete their purchase in store, our new continue at dealership option created a seamless online to offline handle. These changes are already producing encouraging results. Since the new TC+ experience went live, we have observed 115% increase in add to cart rate, a 40% lift in daily credit application submissions and a 2x improvement in F&I attachment rates, all key indicators of a superior consumer experience. As we continue refining the experience and expanding dealer adoption, we believe these improvements will play a critical role in helping TrueCar capture a greater share of online car buyers and future differentiate ourselves in the digital retail space. Looking forward for TC+, the team remains intently focused on a number of key priorities that will keep us on path to commercializing TC + by year-end. Completing the back-end DMS integration work and closely monitoring the automation of all deal documentation is critically important and will allow us to begin measuring the significant sales efficiencies that TC+ seeks to provide our dealers. In addition, we are working to expand and streamline our integrations with financing partners to improve credit approval rates and help consumers get the most competitive financing offers. This includes a universal or windless prequalification experience that allows consumers on TC+ to exclusively shop for vehicles that are prequalified -- that they are prequalified for and expanding the credit application to include co-applicants, thus minimizing the number of rejection, projected credit applications and continuing to improve conversion rates at a critical step in the buying process. In addition, we are continuing to build more seamless integrated off-ramps to consumers to finish the transaction at the dealership. This is an important component of the TC+ experience because we recognize that many consumers prefer to complete a substantial portion of the transaction online before completing the purchase in-store. Moreover, according to Cox Automotive Digitization of automotive retail study published in June 2025, time savings and efficiency was the primary motivation of surveyed buyers who completed a portion of the purchase online before finalizing at the dealership. Nevertheless, 97% of survey dealers reported that consumers repeated steps already completed online when they arrived at the dealership, thus highlighting a critical gap among existing digital retail solutions that fail to seamlessly connect to the online and in-store consumer experience. By leveraging our direct DMS integrations, TC+ seeks to drive efficiencies for both consumers and dealers across our -- across every step of the buying process regardless of whether the consumer finishes their deal online or in store. And now looking forward for the company as a whole. Despite the macroeconomic uncertainty that persists, our long-term growth ambitions have not wavered and our optimism around the future of TrueCar continues to grow as we make significant progress towards our goal of commercializing TC+ by year-end. It has been our long-standing belief that a modern marketplace that offers dealers and consumers the ability to seamlessly buy and sell vehicles entirely online will play a critical role in the future of automotive retail and the recent progress we've made in bringing TC+ to market has strengthened our conviction. Moreover, we see momentum gaining for the shift in car buying as evidenced by the June 2025 JPMorgan Chase Auto annual dealership survey that cites 71% of survey dealers viewing the shift to online vehicle sales as permanent, up from 53% in December 2024 and 30% of dealers anticipating a significant increase in online vehicle sales penetration, up from 24% in December 2024. Beyond TC+ and the opportunity it represents, we are excited by our expectation that the recent enhancement to our core product offering will begin to yield results in the second half of 2025 and beyond, including through expansion of our dealer network and growth in unit sales as we work to bring new OEM incentives into our platform and deepen our partnerships with key affinity partners to help consumers find exclusive offers on their next vehicle purchase. And finally, despite the unpredictability of the current market environment, we believe that the steps we've taken to eliminate costs and maximize our financial flexibility position us to navigate a range of revenue growth scenarios and deliver adjusted EBITDA profitability and positive free cash flow over the second half of 2025. Now operator, let's open the call for questions from our analysts.
Operator: [Operator Instructions] First question comes from Tom White with D.A. Davidson.
Wyatt J. Swanson: This is Wyatt on for Tom. Could you maybe provide an update on how TrueCar is looking to grow just some additional details around your used vehicle initiatives and how you think about that opportunity in light of auto tariffs?
Jantoon E. Reigersman: Yes, absolutely. Wyatt, thanks for the question. So I think there are a couple of things. So for us, what's one of the things that's really important for a marketplace is that you make sure that the people can find the right car, whether that's new or used. And if people become more interested in used, then there's a natural shift towards that, and we need to just make sure we enable that from an experience perspective. It's hard to determine what the exact impacts are going to be long term by the tariffs. And so we are prepared by effectively enabling the consumers to find the cars that they are looking for and best suits their needs because people will keep looking for cars and keep acquiring cars at the end of the day. I think one of the pieces that I'll let Oliver talk a little bit more about is really engaging on the more of the wholesale side of the business, and that's something we've been looking into to help the dealers source more used vehicles is one answer to the question on the pickup of demand of used vehicles. But at the end of the day, do remember that, yes, tariffs are obviously affecting the new vehicle side, but so are the interest rates. And so if you assume a decrease in interest rates over time, you can imagine that there will also be probably a renewed emphasis on the new side as well given that the people that are buying on the new side are often leasing or financing these deals. So maybe, Oliver, you want to give a little highlight on the wholesale side and what we've been doing there as part of the used initiative.
Oliver M. Foley: Yes, definitely. So I mean, let me just start by saying that our long-term view on our growth levers remains unchanged, right? It's really going to be driven by growing our dealer network, expanding our OEM partnerships bringing more incentive programs onto the platform and then ultimately beginning to commercialize and scale TrueCar+. So long term, those initiatives remain sort of at the core of our growth strategy. In the near term, where our growth comes from will certainly be those elements that I just mentioned, but we've certainly seen a shift towards in terms of what dealers are prioritizing right now, we've seen a shift towards vehicle sourcing initiatives. I think there is a recognition that in a world where new vehicle supply is constrained, it's critically important for franchise dealers, in particular, to have sufficient used supply. And so being able to build up that used supply by sourcing vehicles directly from consumers and reducing their reliance on traditional sort of brick-and-mortar auction platforms, that's something that we've seen shift pretty quickly over the last 4 or 5 months. And so the way that we support dealers with that is through our 2 products, which is Sell Your Car and the TrueCar Wholesale Exchange, both of which allow dealers to source vehicles wholesale directly from consumers that come to TrueCar. So it is just a way for us to, I think, augment our value proposition for dealers and allow them to lean into sourcing vehicles directly from consumers given the environment today. But long term, our ambition is not to grow the wholesale side of the business in a vacuum, but rather grow in conjunction with sort of our core marketplace business. And we just view it as being a sort of additional value prop for dealers that can keep them on the platform for longer and really help them in a different way.
Wyatt J. Swanson: Got it. That's really helpful color. Just a follow-up. Could you give an update on your capital allocation priorities and some color as to whether you plan to ramp up your buyback again?
Oliver M. Foley: Yes. I'll just say like I think we demonstrated last year that we're certainly open to repurchasing shares. And I think we're constantly evaluating that as part of our capital allocation strategy. We do believe that maintaining a sufficient cash balance in the near term is good for investors. It certainly provides a healthy amount of downside protection. But as we think about -- as we bring TrueCar + to market as we hit our goal of being free cash flow breakeven over the second half of the year, it certainly does place a focus on repurchasing shares. And so I can't say that exactly when we'll be in market repurchasing shares. But I think as we demonstrated last year, we are certainly open to it, and we'll continue to evaluate it.
Operator: The next question comes from Naved Khan with B. Riley Securities.
Ryan James Powell: This is Ryan Powell on for Naved. So we wanted to ask on the decline of franchise dealers. I think we saw 44 turnover in the quarter. Just wondering about trends to expect from here? And then secondly, on the highest prospect close rate since second quarter '21, what factors are contributing to this? Is this a function of higher lead quality? Curious about your thoughts.
Jantoon E. Reigersman: Absolutely. It's a good question. So I think they are somewhat intertwined. So the dealer declines are not necessarily something that I'm too worried about in general. As I mentioned before, you have often obviously a standard distribution and often a long tail around these things. One of the things that we've been very focused on in the past quarter has been effectively what type of dealers we take on the network and what types of dealers are coming off. And we give them what we call a dealer network scoring, and we have an algorithm that is behind that. And so effectively, what we do is in our sales efforts, we're really focusing on the type of dealers that have a huge positive impact on our effectively broader network, and it obviously is directly correlated to what the people are kind of looking for and where we potentially have gaps. And so it's a combination of that together with the consumers and what the interest of the consumers are that then you effectively become, for lack of a better word, better in making sure that the consumer finds the vehicles at the dealers that they're looking for and that you can actually have the right inventory on as well as for the dealers that you find and provide the right consumers to convert. And so net-net, it's really become a focus on becoming more efficient, both across the dealer side and making sure we have the right dealers on, which is why you see a little bit of the shaking of the tree of some of these things. And so whether it's a little bit plus or a little bit minus really doesn't matter. Overall, we obviously have a huge coverage in the country, but we still feel we have certain gaps vis-a-vis that networking score. And so that's something we're very focused on. And obviously, on the other side, we've also become much more efficient in our marketing approach and approaching and engaging with the prospects that are high converting. And so the combination of these factors obviously create the prospect rate we're talking about. And I would argue on the networking side, that's really about becoming more and more efficient on having the right network in place.
Ryan James Powell: Got it. That makes sense. And then also curious on dealer engagement with new actionable insights and motivated buyer features since the launch.
Jantoon E. Reigersman: Yes, it's a good question. So this is -- and it's actually a great question because it's like the classic case of like it's an education process, right, at the end of the day. So that's really on us. Like 2 things that we always mention is that we are -- one of the values we provide to dealers is training and insights. And so this applies to both. So this gives insights. But in order to extract the insights and know the insights, you effectively need to have training in order to be able to do that. Some dealers are more naturally proficient and understanding in these things than others are. And so this will be something that will start growing over time and obviously make sure that the various dealers are engaging on it appropriately. We've seen really positive results. So it's a little bit hard to say because you kind of need to like train your network on it and see that. But overarching, yes, it skews very much whether the dealers are a little bit more digitally savvy or not as it stands right now, but that's also -- that really depends on our training and obviously fits well with the 12-month service cycle that we've laid out in some quarters ago to you guys where obviously, we touch every dealer, every quarter and so sit with them and engage with them. And so this is a really important part of that.
Operator: The next question comes from Chris Pierce with Needham.
Christopher Alan Pierce: Kind of a 2-part question. If I look at things on a sequential basis, you saw momentum in dealer revenue. But going back to the last question, is it -- dealer count matters less, but it's units and units per dealer and the modest uptick in units drove that momentum? Or did you take some pricing action or it's about having the right dealers and more units on the system? I just kind of want to understand the momentum in that business and how to think about it going forward? And then the second part is you drove this momentum by pulling back on internal investments. So I'm just kind of curious the right way to think about the internal investments you had messaged prior and maybe the level of spend going forward given the growth you're showing while pulling back on that spend.
Jantoon E. Reigersman: Yes, I'll give you a short version answer and Oliver can take the next piece, which is -- Chris, it's going to be an unsatisfactory answer to you, which is it's a little bit all of the above at the same time, right? So you can -- you're working on both sides of the equation. You're working a more efficient network while you're also really starting to hone in and be more efficient on the top end. That includes also trying to figure out ways to really utilize our own data sets better and right, more precisely, reengage better, more precisely, reengage more personalized, all these type of things. And so it's really about utilizing all the information we already have internally and be a little bit less dependent on just the classic standard performance marketing and really focus on again. We actually know a lot about these consumers, and we know a lot about our inventory, and we know a lot about the behaviors that are happening and what can we do to really improve around that. So it's a little bit of both. It's not necessarily that one is prioritized over the other, but it's -- we're just happen to be tackling it at the same time. And then as we then become and find these greater efficiencies, then actually push behind it and push harder as we feel we're ready for that. I do think, though, that if you think of the network itself, that's really about basically making sure we add the right dealers to the platform and then really think about if there's somebody who wants to churn who is really value additive, obviously focus on retention. And if there's somebody who wants to churn who might be less additive to the network, maybe focus our efforts on the ones that really are effectively net positive. And so there's a little bit of a reshift that has happened as we realign that sales team and service team, but it happens at the same time. So there's not necessarily a particular prioritization amongst the 2.
Oliver M. Foley: And so Chris, I'll just add a little bit, which is when you think about dealer revenue, there -- you can really split it into 2. One component is the auto buying program, right? So it's what we're getting paid to drive prospects and unit sales for our dealers. And so we want our unit growth to move in sync with the core auto buying program revenue that we earn from dealers. Separately, you've got the ancillary dealer revenue, which is really made up of the vehicle sourcing products such as Sell Your Car and the Wholesale Exchange and TrueCar Marketing Solutions. And so those revenue that's earned from those parts of dealer revenue really aren't unit sales growth, right? They're actually -- there's different KPIs that we measure for those. And so as we talked about, a significant lift in number of dealers who are subscribing to our Sell Your Car product. And TrueCar Marketing Solutions was pretty nascent this time last year. And so there's been growth from that part of the business as well. But looking forward, we certainly want that core auto buying program component of dealer revenue to grow and expand, and that's going to be through adding more of the right dealers to the network, right? And those right dealers that are truly accretive to our network, right, where they've got the right supply that matches our demand, they'll have a higher revenue per dealer. And so that's really, in our view, a much more effective way to grow the dealer network over time. And then as it relates to the investments that we've made, and you alluded to us pulling back on investments. Well, I would say that, yes, I think we've pulled back on certain investments around our field sales and service team and instead really sort of prioritize our energy on the investments into the dealer experience and consumer experience that are going to lift overall efficiencies in the platform, specifically close rate, right? So as we see close rates continue to go up, we can drive more unit sales with fewer marketing investments, right? And therefore, you can think about we can spend the same amount of marketing, drive significantly more unit sales and grow the dealer network in conjunction. And so it really was, to an extent, stepping back, really focusing on what are the things that are going to drive improvements in the consumer and dealer experience that lift close rates. And then that just gives us a lot more leverage to grow unit sales and the dealer network over the next several quarters.
Christopher Alan Pierce: Got it. And then just lastly for me. I know in the past couple of years, we've talked about increasing OEM incentive revenues. And I know why dealers -- OEMs wouldn't feel the need to incentivize for the tariff pull forward. But if we talk about -- we're talking about prices going higher and where incentives are as a percentage of transaction price now, I'm just kind of curious why you're less bullish on OEM incentive revenue. Is it just lower supply? Is it directly correlated to lower revenues, lower OEM incentive revenues? Or it's -- like what's the correlation there? Because I'm thinking it's going to be harder for OEMs to sell higher-priced cars, but it seems like you guys are coming at it from a different perspective.
Jantoon E. Reigersman: Yes. I don't -- I actually think the OEM revenue line is a huge opportunity for us and has always been and remains to be. I do think that in a higher tariff world, I think OEMs are trying to figure out how to adapt and adapt across their own effectively capital structure, for lack of a better word. And we're helping them adapt. So we're obviously engaging with them directly and see what we can do. But I agree with you, and I think there is a huge opportunity, and I think there is a big opportunity to keep people excited about new cars. And the OEM incentive business is one that is very unique to us, and I think we've proven to be very good at. So we remain very bullish on that. And I think as we've proven also in this quarter, we've performed well there.
Operator: [Operator Instructions] The next question comes from Rajat Gupta with JPMorgan.
Rajat Gupta: Just wanted to -- I don't know if you addressed this earlier. I am just hopping around different earnings calls. Any color you can provide us on the second half outlook as it relates to just the nondealer product side of things, just the franchise independent revenue cadence, customer count versus just average revenue per dealer. Any kind of framework you could provide us you might have visibility into in the second half? And I have a quick follow-up.
Jantoon E. Reigersman: Go ahead, Oliver.
Oliver M. Foley: Go ahead, Jantoon.
Jantoon E. Reigersman: I mean I was going to give Rajat a very dissatisfactory answer, which is, look, I think the part that we control for is obviously the cost structure of the business and where we do our capital allocations. I think the revenue side is a little bit trickier. When it comes to the baseline, I think we know that very well. I think, obviously, it's still an evolving world. And I think every day, right, is different and more news. And so we're a little bit reluctant to really give any framework around it. It's the reason also why I think we were purposeful in the last sentence where we said, there might be different trajectories of lines vis-a-vis the revenue, depending a little bit of the external circumstances. But we're ready for that as a business because we're -- we've set ourselves up really well. I think more broadly, though, I mean, uncertainty drives a benefit for us in the way that dealers need us, right? As Chris alluded to before, I think OEMs need us. And so I think we're very positive and excited about what the future brings. It's just really hard to predict exactly what the trajectory of that line is. Sorry, Oliver, I cut you off.
Oliver M. Foley: Yes. No, I'll just elaborate and say that dealer count is important to us, right? We want to maintain a strong network. We want to have as many active dealers on the platform as possible. But as we have talked about, there's a difference between the dealer that's truly accretive to the network, right? They're filling a supply-demand imbalance that exists. And then the dealers are nonaccretive to the network, right, where they're just providing more supply when there may not be sufficient demand. And so to an extent, they can cannibalize other dealers on the network. We've been really intentional about really focusing on how do we get more of those dealers that are truly accretive to the network on the platform. And when certain dealers churn, if we feel like they're -- they provide redundant supply, we should be okay with that. I think over time, that translates into a much healthier network where dealers are getting a greater share of unit sales. And I think that over time leads to lower churn as a result. Also, when you think about our franchise dealer network, it's comprised of nearly all of the large dealer groups across the country. And so we also see a tremendous amount of opportunity outside of growing dealer count, but really just saying, all right, how can we serve these strategic partners in a much deeper way? How can we support them beyond just sending them more new car or used car leads, but really expand the way we serve them to include some of our vehicle sourcing products, to include our TrueCar Marketing Solutions products as well and then really deepen the partnerships with them and drive a greater share of wallet. So all that to say, dealer count is certainly an important metric. And over time, we want that to expand. In the near term, we want to make sure that it's the healthiest dealer network possible that has the best supply-demand balance. And we're really investing in growing the partnerships that we have with some of our larger strategic dealer partners.
Rajat Gupta: Got it. And just I had a broader like question zooming out on just Agentic AI. Obviously, that continues to evolve with tools that can autonomously search, compare, even transact on behalf of consumers. How do you see this affecting TrueCar's marketplace model? Are there plans to integrate or partner with such agents just to stay central in the car buying journey. Any thoughts on that would be helpful.
Jantoon E. Reigersman: Yes. Well, first of all, I mean, I think it's a very relevant question. It's obviously something we think a lot about and we work on tremendously. First of all, obviously, the focus is on really making sure that our data is not a swamp, but a clear lake that we can utilize and structure and obviously deploy a lot of tools against. And I do think we have very unique data sets that are very unique to us. And so I think there's a lot of opportunity there, and we've done a lot of work to make sure that these are all very usable and now have started working on getting products out there for both consumers and dealers effectively utilizing that, right? So that's number one. Then more broadly on your question vis-a-vis how people are going to, in the future, buy cars. I think it's really important to remember that we have a very big affinity network, which I think is a very important component of trust and how people actually engage with car buying. And so emphasizing and working deeper and deeper with affinity partners will be a very important tool for us going forward and then enabling them to really get into a world where you possibly even get closer integration with the affinity partners where you can start buying and checking out cars much more easily is a topic that is obviously something that we discuss a lot internally. But overarching, it's something that, obviously, we think about a lot. It's also one of the reasons why we've kind of been rethinking about the marketing and the way we've been talking about generating more efficiency on the marketing side to make sure you're not too dependent on certain external platforms but really start integrating with the right ones where the actual consumer sits and flows towards. So yes, long story short, there are multiple aspects where this is touching us. There are multiple aspects where we are engaging. I think the affinity network will be an important component of that, but also the way we're designing the flows is something where we would obviously like to become the predominant platform where people are effectively buying or selling a car online, whether that's new certified preowned or used. And I think we have the inventory for it, the infrastructure for it, and that's really a matter of now getting and engaging on the front end and engaging with the right partners to get a foothold on that side.
Operator: [Operator Instructions] Thank you. This concludes the question-and-answer session. And the conference has now concluded. Thank you for attending today's presentation. You may now disconnect.